Operator: Good day, and welcome to the Lantronix 2025 Q3 Results Conference Call. All participants will be in a listen only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brent Stringham, Chief Financial Officer. Please go ahead.
Brent Stringham : Good afternoon, and thank you for joining our quarterly earnings call. Joining me today is our President and Chief Executive Officer, Saleel Awsare. A live and archived webcast of today's call will be available on the company's website. In addition, you can find the call-in details for the phone replay in today's earnings release. During this call, management may make forward-looking statements, which involve risks and uncertainties that could cause our results to differ materially from management's current expectations. We encourage you to review the cautionary statements and risk factors contained in the earnings release, which was furnished to the SEC today and is available on our website and in the company's SEC filings, such as its 10-K and 10-Qs. Lantronix undertakes no obligation to revise or update publicly any forward-looking statements to reflect future events or circumstances. Please refer to the news release and the financial information in the Investor Relations section of our website for additional details that will supplement management's commentary. Furthermore, during the call, the company will discuss non-GAAP financial measures. Today's earnings release, which is posted in the Investor Relations section of our website, describes the differences between our non-GAAP and GAAP reporting and presents reconciliations for the non-GAAP financial measures that we use. With that, I will now turn the call over to Saleel.
Saleel Awsare : Thanks, Brent, and thank you, everyone, for joining today's call. We reported revenue of $28.5 million for the third quarter of fiscal 2025, and our non-GAAP EPS was $0.03. Both metrics were well within our quarterly guidance range. Brent Stringham, our CFO, will be providing more details on the third quarter financial results shortly. On the call today, I would like to cover 4 topics with you. First, I will speak briefly to the current operating environment and how we've moved quickly with our own task force on tariffs while remaining focused on executing our business and controlling costs. Second, I'd like to talk about how we are expanding our distribution network in the European Union and Asia Pacific. Third, I would like to highlight some recent customer wins and mention products we've launched. Lastly, I want to highlight our solid operational execution and strengthening financial position, which Brent will speak to in more detail in his prepared remarks. So first off, we are carefully monitoring the current operating environment, and we are working very closely with our customers, suppliers and contract manufacturers. In anticipation of the tariffs, we established an internal task force to identify our top priorities and devised a 90-day action plan. We are currently implementing this plan and closely managing expenses due to the uncertainty surrounding tariffs and any disruptions to the supply chain. Regarding pricing, we are working on a customer-by-customer basis with goal of minimizing the impact to Lantronix. And we are in discussion with our largest partners and contract manufacturers to manage and reduce cost. In this operating environment, we will continue to analyze, adjust and execute our action plan. Second, regarding our effort to grow our channel distribution, we announced this past quarter that we are expanding our partnership with TD SYNNEX, our major distributor in North America. They are now distributing throughout Europe focused on out-of-band management, network infrastructure and industrial IoT solutions, bringing expanded support to our customers and partners in the European Union. And we are also leveraging the acquired channel network from NetComm to expand the distribution in Asia Pacific, Australia and New Zealand. Overall, the integration of NetComm products into our business has gone very well, and I'm pleased with the level of customer engagement and new cross-selling opportunities that we are seeing. Third, regarding new customer wins, we recently announced a new AI-powered camera solution that uses our high-performance System on Module paired with thermal infrared camera module from Teledyne/FLIR. In this solution, our Open-Q System on Module provides advanced processing for AI-driven situational awareness, advanced thermal imaging and real-time decision-making. This integration accelerates the next-gen AI camera solutions for drones, surveillance and robotics. I'm also pleased that we announced our latest System on Module using Qualcomm's Dragonwing 8550 processor that's uniquely designed for higher AI and ML applications such as video transcoding, camera applications and edge gateway integration. As I have said previously, we are very focused on edge AI solutions because of the benefits of low latency, better security and low power requirements at the edge of the network. And we are seeing more customers moving to hybrid architectures that are leveraging both cloud computing for heavy computational processing as well as edge computing for intelligent real-time inferencing. And finally, we continue to manage our cost structure tightly, and I'm pleased to report our cash position increased sequentially in fiscal Q3 compared to the prior quarter. We also took the prudent step to pay down some debt, helping us reduce our interest expense. Brent will be covering that in more detail in his script. Brent, over to you.
Brent Stringham : Thank you, Saleel. I will review the financial results and some business highlights for our third quarter of fiscal year 2025 before commenting on our financial outlook for the fourth quarter of fiscal 2025. For the third quarter of fiscal 2025 or FQ3, we reported revenue of $28.5 million. As we expected, revenue was down both sequentially and on a year-over-year basis with no shipments in the current quarter to our large smart grid customer in Europe as they work through their initial deployments. The revenue impact was partially offset by sequential organic growth in our embedded connectivity and switch products, along with growth in our gateways and routers, led by products from the acquisition of NetComm last December. As expected and discussed on last quarter's call, we saw sequential and year-over-year increases in our GAAP and non-GAAP gross margins. GAAP gross margin was 43.5% in FQ3 2025 compared to 42.6% in the prior quarter and 40.1% in the year ago quarter. Our non-GAAP gross margin was 44.1% in FQ3 2025 compared to 43.2% in the prior quarter and 41% in the year ago quarter. GAAP operating expenses for FQ3 2025 were $16 million compared to $16.6 million in the year ago quarter and $15.4 million in the prior quarter. We reduced our non-GAAP OpEx for FQ3 2025 by approximately $1.2 million compared to the year ago quarter and by about $200,000 sequentially. We continue to realize the impact of the various cost reductions we have spoken to in recent quarters. We note in the March quarter that non-GAAP OpEx, including costs related to NetComm was within our previously stated quarterly target range of $11.25 million to $11.75 million, which did not originally contemplate NetComm operating costs. GAAP net loss was $3.9 million or $0.10 per share during FQ3 2025 compared to GAAP net loss of $400,000 or $0.01 per share in the year ago quarter. The current quarter GAAP net loss includes a restructuring charge of approximately $1.6 million related to the cost reduction initiatives that we undertook and completed in January. Non-GAAP net income was $1.1 million or $0.03 per share during FQ3 2025 compared to non-GAAP net income of $4.2 million or $0.11 per share in the year ago quarter. Turning to the balance sheet. Cash and cash equivalents at the end of the March quarter totaled $20 million, slightly up from the prior quarter. For the 3- and 9-month periods ended March 31, 2025, we generated positive operating cash flow of $3.2 million and $6.2 million, respectively. Net inventories decreased to $28.2 million as of March 31, 2025, as compared to $29.1 million in the prior quarter. Given our recent margin expansion and cost reductions, the positive cash flow from operations allowed us to improve our balance sheet during the current quarter by paying down about $2 million or 15% of our existing term debt. As Saleel previously mentioned, this will help improve savings on interest costs. As of March 31, 2025, our remaining debt balance approximates $12.5 million, giving us net cash of $7.5 million. Now for the outlook. For the fourth quarter of fiscal 2025, we expect revenue to be in the range of $26.5 million to $30.5 million. Given the current environment, we are expecting some pressure on gross margins in FQ4 compared to our recent near-record gross margins in FQ3. Accordingly, non-GAAP EPS for FQ4 is expected to be in the range of $0.00 to $0.02 per share.
Saleel Awsare : Thanks, Brent. As we consider our outlook for the June quarter, we have been cautious given the macro uncertainty. We are executing well in the current operating environment and managing our expenses closely. We are generating positive cash flow. Our balance sheet is strong. Our customer design activity is growing very nicely. In addition to solid business execution, we remain very focused on developing edge intelligence solutions with compute and connect for our customers. With that, I'd like to ask the operator to open the call for Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from Jaeson Schmidt from Lake Street.
Jaeson Schmidt : Just curious what the NetComm contribution was in the March quarter. And I know you noted that you've been pleased with sort of customer engagement on that. But how should we think about potential growth of that business going forward?
Saleel Awsare : Jaeson, it's Saleel here. Thank you for that question. As we mentioned when we did the acquisition that we expect the revenue to be $6 million to $7 million on an annualized basis. We are tracking to exceed that run rate. And if you remember, I've spoken, we should expect to be 15% to 20% higher than that run rate, if you think about it on an annualized basis. The second part is how are the customers tracking? The majority -- the 2 big customers are Vodafone and Coca-Cola. I've spoken to them before, and they seem to be very well engaged with us. But what has happened is some of the other customers that we were working with are also opportunities for some of our other products like out-of-band and some of our other industrial IoT products that we have. So in the mid- to long term, this is going to be very good as we put it all together with the Lantronix products and the NetComm-acquired products. And one key aspect that we really like the business for was with the 5G, and we got that 5G product, and it's already sampling.
Jaeson Schmidt : Okay. That's really helpful. And then just given the current macro, curious what you're seeing from sort of a quoting activity and order pattern perspective so far here in Q4?
Saleel Awsare : Great question with the macro. And the organization is ready. We've been handling the changes that are ongoing, and we feel really confident where we're at. So a few points. We're not seeing any cancellations, pushouts or any unnatural behavior from our customers. The design activity is continuing to be just fine. And in the prepared remarks, maybe we talked about how we are managing it and adding a little bit more color to this, we will be pretty much out of our China manufacturing by early FQ1 '26. Maybe you want to add to that a little bit, Brent.
Brent Stringham : Yes. We -- this has been an ongoing process for the last few quarters already before all these tariffs were announced. So we're seeing the last remnants of some of the NetComm acquired manufacturing playing out over the next quarter or so. And really, from a metric standpoint, we have less than 5% of our products that are manufactured in China are destined for the U.S. And as Saleel said, we're in the process of fully decommitting from China in the next 90 days or so.
Jaeson Schmidt : Got you. And then just the last one for me, and I'll jump back in the queue. Just following up on some of those comments. Has the macro changed how you're thinking about Gridspertise in fiscal '26?
Saleel Awsare : They continue to do their deployment. We continue to remain engaged with them. There is nothing new for me to add other than the fact that we are in good conversations with Gridspertise. Their deployment is ongoing, and we are engaged, and we are still single sourced. That’s the clarity that I have for you on specifically Gridspertise.
Operator: Our next question comes from Scott Searle from ROTH Capital.
Scott Searle : Saleel, maybe just to jump in on the edge compute side of the equation. A lot going on from a product development standpoint, starting at CES, I think continuing at Mobile World Congress. I wonder if you could give us some updated thoughts in terms of what that engagement and design activity pipeline looks like. When we should start to see some revenues? How quickly does that ramp up in fiscal '26 and kind of framing the opportunity?
Saleel Awsare : Great question, Scott, and thank you for that question. Our Edge AI initiatives and focus is starting to pay off. First one was we announced with Teledyne/FLIR, a cooperation where our product is in their new thermal imaging camera and it's going to go into production shortly, I believe. So we're working with them on that. Specifically, 3 areas where we were focused on. One was drones, robotics and security and surveillance. I'm very pleased to report our first drone customer, if all the trials complete well, will go into production in the June quarter, small amounts. But as we then go into the fiscal '26, it's going to start to pick up speed. On the surveillance side, we are engaged with 2 companies where they are looking at our technology to put into their new, I would call it, AI-enabled camera Scott. So in '26, we do see revenue from the AI activities that we are doing, specifically around cameras. From a market size, as you've seen the numbers, Grand View, all of these folks are talking about markets in the billions of dollars longer term. We do believe that we will be able to grow nicely with some of the engagements. And we've really been laser-focused enabling cameras with Edge AI, and that's what we do really well. So I'm happy to report that we have our first design in and hopefully first volume shipments in this quarter. It's a start, but it will be -- it will pay off in fiscal '26.
Scott Searle : Great. It's good to see some of the traction momentum building on that front. And in terms of the guidance for the June quarter, I'm wondering at this point, a couple of things. Like what visibility do you have to that range at the current time? What are kind of the swing factors on that front to the upside and the downside? Is Gridspertise part of the equation at all in the June quarter? And then I know it's early, but I'm wondering if you could give us your initial thoughts in terms of growth into fiscal '26. It looks like the decks are cleared here with Gridspertise now largely out of the numbers. What are the early thoughts in terms of how that's starting to shape up? I know it's outside of the near-term tariff window, but I'd love to get your initial thoughts.
Saleel Awsare : Yes, yes. Thanks for that, and let me try to take one at a time. For the June quarter, we have no Gridspertise revenue, similar to what it was for the March quarter. So as you can see, our base business is starting to grow. I'm very pleased to tell you that. As I think about where we are sitting today, without getting into the details, our bookings were good last quarter. Our bookings continue to be good this quarter. So as I said in my prepared remarks, Scott, I was very prudent and cautious with the number that we put out there. So sitting today, we feel fine about the number we put out there for you guys. And we were cautious though as we thought about it. So we did not go over our skis by any means. And as I think about the future for '26, from the run rate business that we are at now from this quarter or last quarter, we should definitely grow double digits. And we have the design momentum and customers that we're working with that will allow us to show that.
Scott Searle : Very helpful. And lastly, just on the out-of-band side of the equation, I'm just wondering some updated thoughts on that front. It's tended to be a little, I think, volatile over several quarter periods. But are you starting to get some stability and, I'll call it, recurring customers in terms of their buying patterns there?
Brent Stringham : Yes. Scott, this is Brent. Thanks for the question. Yes, as you mentioned, we've seen some lumpiness in that business. And that's largely because, as we know, it's dependent on project-based capital spending and also to a certain amount of federal spending, which there's some slowdown there. So we're seeing good momentum with the pieces we put in place at the company resources and the like, and we feel good about the business going forward and kind of expect to get out of the slowdown we've seen over the last quarter or 2 going forward.
Saleel Awsare : And Scott, let me just add. We brought in a new general manager to run that business, and we feel really good about it. He comes out of Opengear, and I think you know those guys. So I anticipate we will start to see some good momentum in the probably second half of '26 from where we're at with some new design win activity.
Operator: [Operator Instructions] Our next question comes from the line of Christian Schwab from Craig-Hallum Capital Group.
Christian Schwab : I just want to follow up on some of the commentary you just made just a few seconds ago that you're confident you can grow double digits again in 2026. Is that based on obviously, NetComm rolling in. But does that include Gridspertise coming back and large digestion of previous orders being done? Or is that just based on the core business and expansion of opportunities, partnerships with TD SYNNEX or new design wins ramping through your Qualcomm relationship? Any color there would be great.
Saleel Awsare : Christian, thank you for that question. So as I said, from the base business that we are at today, it's what, 28.5% approximately. We definitely see a growth of double digits, could be 10%, could be 12% from a couple of things, design activity, the Qualcomm relationship with new products that we're releasing, new industrial IoT products coming. Also with out-of-band, we're releasing some -- a new box that's going to be coming out in probably 90 days. So all of that is in my plan and the company's plan as you think about fiscal '26 from the run rate we are at now. Without getting into too much with Gridspertise, all I'll say is they need to get their deployments done. And I'm working with them closely, but I wouldn't say I'm putting in any big numbers for Gridspertise in the number. Does that kind of give you enough clarity?
Christian Schwab : Yes, that's great color. And then my last question is, are you still currently the only sole supplier to Gridspertise? Should they digest the inventory they have in their rollout and get back on track, would you still be the only one they would call?
Saleel Awsare : Yes, we are single sourced with them, and we continue to be single sourced. And as I've spoken in the past, they're doing a few POCs in the U.S. and things like that. I'm hopeful for the longer term, but we've helped them. We've shipped a lot of product. We are still working with them, but I've tried to derisk the number as much as I can. So does that make sense? Like we are fully only the single source with them right now. And that I've confirmed as of a month ago.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Saleel Awsare for closing remarks.
Saleel Awsare : Thank you, everyone, for joining the call, and we will be in Minnesota at the Craig-Hallum Conference the week after Memorial Day. Thank you so much. Bye-bye.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.